Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Potash Corp. first quarter earnings conference call. (Operator Instructions) I would like to remind everyone that this conference is being recorded on Thursday, April 29th at 1:00 pm eastern time. I will now turn the conference over to Denita Stann, Senior Director, Investor Relations. Please go ahead.
Denita Stann: Thanks, Brock. Good afternoon. Thank you for joining us and welcome to our first quarter earnings call. In the room with us today we have Bill Doyle, President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; James Dietz, Executive Vice President and Chief Operating Officer; Joe Podwika, Senior Vice President and General Counsel; Garth Moore, President of PCS Potash; Tom Regan, President of PCS Nitrogen and Phosphate and David Delaney, President of PCS Sales. I would like to welcome the media who are listening in and remind people are we are live on our website. I would also like to remind everyone that today's call may include forward-looking statements. Such forward-looking statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of such statements and actual results could differ materially. For additional information with respect to forward-looking statements, factors and assumptions, we direct you to our news release and our most recent form 10K. Also, today's news release, which is posted on our website includes a reconciliation of certain non-GAAP financial measures to their most directly comparable GAAP measures. I'll turn the call over now to Bill Doyle for some comments and then we'll go to questions.
Bill Doyle: All right, Denita. Thank you and good afternoon everyone and thank you for joining us for Potash Corp's first quarter conference call. This quarter marked the beginning of a significant and positive transition for our business. Over the past 18 months we operated in very challenging conditions, brought on by the global economic downturn. But as we have often stated, food production and fertilizer are essential industries that will inevitably rise above tough times. The simple truth is that people need to eat and to produce enough food for almost 7 billion people farmers around the world need fertilizer. Nutrients that are essential to human development are drawn from the soil by crop production and must be replaced. This is basic crop science. Every crop harvested is equivalent to taking money out of the bank and the record crops in recent years have resulted in large nutrient withdrawals from the soil. Taking out more than you put back is not sustainable and farmers must return to the practice of making deposits to keep their soils productive. With crop prices remaining profitable and well above historical levels, farmers are recognizing the opportunity and returning to more normal fertilization practices. Most distributors emptied their bins in 2009 and now are coming back to producers for potash, phosphate and nitrogen to meet their customers' needs. In this environment Potash Corp's quarterly earnings reached a $1.47 per share, the second highest first quarter total in our history. This included $715.1 million in gross margin with almost three quarters of that generated by potash, our core nutrient. We benefited from higher sales volumes in the all three nutrients, most significantly in potash. North American farmers were the first to respond to the scientific needs of their soils and we shipped a record 1.3 million tons of potash to domestic customers in the first quarter. Our off shore sales volumes also rebounded strongly to 1.2 million tones, more than triple the reduced volumes of the same period last year. While first quarter global volumes demonstrated that nutrient demand is reemerging, some observers have not fully appreciated that a recovery is underway, creating a drag on fertilizer stock prices in the recent weeks. Suggestions of lackluster crop prices have garnered significant attention. Without question, global crop prices are an important factor in our business. However, fertilizer demand and prices do not rise and fall with day-to-day movements in crop commodities markets. When you look at the bigger picture, today's crop prices are well above historical averages. That makes the economics of farming and proper fertilizer use very attractive. At current corn prices, a North American farmer spending less than 4% of projected revenue on potash and is capturing historically high returns over input cost. As we saw in the first quarter, farmers in the United States are making an investment in fertilizer and are off to a fast start with spring planting. This has raised the expectation of a bumper crop in the U.S. In reality a fast start only increases the likelihood of an early harvest. Growing conditions through the summer months will ultimately determine the success of a crop. More importantly, the U.S. is only one piece of the puzzle. There is a tendency to view global agriculture through a North American lens. The world needs significant production in every major growing region to keep pace with rising food demand. In Southeast Asia, the El Nino weather partner and reduced fertilizer consumption over the past 18 months have impacted prop production, resulting in palm oil and rice prices 60% above the 10 year average while Brazilian farmers are completing a record soy bean harvest and benefiting from strong sugar and soy bean prices. Monsoon developments will be closely watched in India this summer after the crop production shortfall of last year. In China, extreme drought in the southwest and cold temperatures in the north have muted farmer engagement, the third consecutive year that fertilizer applications, especially for potash have been below normal level levels. This is expected to impact crop production this growing season and has contributed to higher commodity prices. China continues to import record soy bean volumes and just recently purchased some U.S. corn for the very first time, which is a positive development for the global corn market. The Chinese government recognizes its food production challenge and is introducing initiatives to promote balanced fertilization. In late February, China's Ministry Of Agriculture announced a soil survey based fertilization program which will send a 100.000 experts in agronomists into the field to provide training and support to an estimated 160 million farmers. By helping Chinese farmers understand soil, surveying and balanced fertilization the country is hoping to improve the nutrient balance on 180 million acres over time. India has similar motivations as annual food price inflation in that country is continuing at more than 15%. With its growing population and strengthening economy, food security is a major concern, which is why India's government recently implemented a nutrient based subsidy program to address imbalances in its soils. With potash under applications to be addressed in most developing regions, we believe the long term demand potential is significant. The key to our business and to the way we operate at Potash Corporation is to look at longer term patterns and trends. Changing diets, urbanization and a growing population are expected to put unprecedented stresses on the food chain. In the next decade alone, global population is forecast to grow by an 800 million people, more than twice the population of North America. Much of that growth will occur in Asia. According to the international monetary fund, economic output in emerging nations has already surpassed levels prior to the economic downturn. As we have witnessed in the past, more people with higher incomes desire for more food and healthier diets, which translates into the need for more fertilizers. After a sharp decline in 2009, the potash market is in a period of transition. Demand is returning and the current forecast and 2010 global consumption is approximately 50 million tons, still below the estimated historical trend line of around 55 million tons. Fertilizer distributors, many of whom experienced losses in 2009 are still motivated end the season with empty bins. In North America we expect this will result in second quarter shipments above last year but below historical levels. With limited inventory in the supply chain, this sets up for strong domestic shipments in the second half of the year. In offshore markets, we anticipate ongoing strength in Southeast Asia while demand in Latin America will begin accelerating towards the end of the second quarter. China and India are both expected to acquire additional tonnage in the pack half of the year. As purchasing continue to meet immediate needs, global potash producer inventories are being drawn down. North American producer inventories are now 21% below the 5 year average. We are confident that scientific requirements will return consumption to the historical trend line growth. In addition, as distributors around the world begin to refill the supply chain and farmers address short falls created by mining the soils in the 2009, demand could climb higher than trend line consumption. We anticipate a strong, multiyear growth period will put pressure on potash supply in the years ahead, providing the opportunity for improved margins. Moving forward, we are very optimistic about the potential for our company. There is a simple truth about the potash business and that is you cannot buy time. Building capacity takes years to complete, whether you're looking at Brownfield expansions or a Greenfield operation. The long term potash expansion program that we launched in 2003 has continued through the economic downturn, helping us prepare for projected demand growth in the years ahead. By 2015 we expect to have more than 17 million tons of annual operational capability, roughly double the level we had when we started our expansion program seven years ago. Our projects represent the largest portion of Brownfield expansions under way anywhere in the world. We expect this will be increasingly valuable, as demand grows. While we bore the brunt of weaker market conditions in 2009 in a rising market, we will have the capability to capture a greater share of new demand. In this environment, we look forward to demonstrating our full potash potential, serving our customers and delivering greater returns to our investors. Given current conditions, we expect 2010 earnings of $4.50 to $5.25 per diluted share, including second quarter earnings in the range of $1 to $.30 per diluted share. We view 2010 as an important step forward as we move toward longer term demand growth. We believe the drivers of our business remain extremely favorable and our company is very well positioned to deliver long term value to all of our stakeholders. Thank you for your interest in Potash Corporation. I'm joined today by members of our executive management team and we would be pleased to answer any questions you might have.
Operator: Thank you. (Operator Instructions) Our first question comes from Fai Lee, of RBC. Please go ahead.
Fai Lee – RBC: Thank you. Bill, just with respect to your guidance for this year, I'm just wondering if you can maybe talk about some of the major assumptions behind your potash, maybe phosphate nitrogen with respect to pricing going forward maybe directionally. Also with respect to your Q2 guidance range, I'm just wondering where it would fall if distributors passed you through is actually revert to a normal restocking pattern, which, it appears that's not what you're assuming but what if that did occur?
Bill Doyle: I'm going to answer the first part of that question and pass it on to David for the second part. In terms of our guidance, this is a recovery year in the potash market in the fertilizer world and being such, it's uneven. We do think that the year will be one in which we will build momentum as we go through the year, but we are going to take it as it comes. I said that in the first quarter and I will say it again to you now. We do think that we are going to set ourselves up in 2010 for a very strong 2011, very good years 2011, 2012, 2013. It's just coming at us. You can see the rebound, the restocking that going to be required which is a multi-year process and this year so far has worked out the way we thought it was going to work out, but our guidance is to take it as it comes. David?
David Delany: Regarding potash, domestically the industry moved 3.1 million tons in Q1, 2.2 million tons in the second half of '09. So we think for a 7 million ton year, the industry will move about 1.8 million tons in 2Q and that assumes our customers, distributors, everyone in the season empty. Now, if you go back to previous years when we had a bit of a fill in the second quarter, that number would probably grow by another million tons or so but we're not forecasting that. We're forecasting a very strong second half. Dealer attitudes are terrific. It has been a great spring. We're off to a great start here in April. Inventories have been depleted very quickly. People are coming back for re-supply. A very optimistic attitude but I would say 1.8 million from an industry standpoint for the second quarter is the right number.
Operator: Your next question comes from Elaine Yip of Credit Suisse.
Elaine Yip – Credit Suisse: Afternoon. How are you? Can you give us a sense as to whether Canpotex has been successful pushing through the price increases announced in the global market and then in regard to China and India, do you anticipate that Canpotex will sign further contracts there?
David Delany: All right Elaine. Thank you. Canpotex is working on the price increases I would say in Brazil. It's a work in progress still. We have not obtained those increases yet, but keep in mind, Brazil is early in the process, although I would say, if you look at Brazil, just an indication of the change. If you look at the first quarter, Brazil in 2009 first quarter imported only 83,000 tons; during the first quarter of 2010, 1.133 million. So, quite a big difference. So that's typical of what we're seeing and this is well before the June to September demand period. So as that period comes upon us, I was just down in Brazil a couple weeks ago. I would tell you the Brazilian customers are very optimistic about what is happening there and they see with this crop influenced by wonderful weather in Brazil this growing season, a tremendous amount of nutrient removal and where they say that they think there will be 5% up total NPK usage in Brazil, they're saying that that number could be stronger and that potash consumption and potash import requirements could be even stronger. So you're going to see that in that June-September picture. And when you get that type of demand, you're going to see prices improve and we think you'll see prices improve in that spot market of Brazil as we go towards the end of the year. The other part of the question –
Elaine Yip – Credit Suisse: China and India, I think.
David Delany: China and India, I do think both will take additional tonnage, China heavier than India, but again we are pursuing quarterly contracts in those markets. We continue to think that that's the proper approach. We think it's the best for the marketplace. We think it's the best approach for both Indian and Chinese farmers and I have explained why we do that. It is different than the iron ore people. We think that we have to have contracts that are honored and when you have the obligation only on the supplier's part, that really doesn't work and you hold up the entire global marketplace in doing so and that doesn't serve farmers anywhere, not Chinese farmers or Indian farmers or Brazilian farmers or North American farmers. It doesn't serve any farmers to have that type of scenario and we think it's just going be a lot healthier for the market and we think that will come and been recognized in 2011 as this demand goes back to trend line growth.
Operator: Your next question comes from P J Juvekar of Citi.
P J Juvekar – Citi: Good afternoon. Your forecast for Chinese demand is about is 8.5 million to 9 million tons. What do you think is the underlying demand assuming, normal weather? And then secondly, what is your intelligence on how fast China is expanding its internal potash capacity at the Qinghai salt lake? Thank you.
David Delany: All right, P J. What I would say in terms of internal production, Qinghai salt lake being the biggest producer, you're looking at about 4.5 million tons. They were 4.4 million last year, will be 4.5 million this year. We're really getting up towards the top end in terms of (inaudible). You've got some SOP production but that's used for different crops. So, if you say that they're going to have 4.5 million tons of domestic production, we think that they are going to import a total of 5 million tons this is year. And they have imported a range for imports already this year of about 2.5 million. So, we think – and keep in mind, you've also got some rail, which will be about 1.2 million. So that would leave you with about, according to our calculations about 1.3 million left to be imported into China and that's assuming consumption is going to be in the 9 million to 9.5 million ton range. So you have to have a little bit more inventory than you will actually consume. China, as you will recall in 2007 consumed 11 million tons and then in 2008 and 2009 went down to 7 million tons. That is not sustainable. They are getting off to a slow start because of the weather issues we addressed in our remarks, but you're still sitting here at the end of April and we understand now they're getting going and we think that consumption is going be pretty strong. When you see China import corn and I don't know how many of you have picked up on this, but there is a 115,000 ton corn order from China which just came out yesterday. And there is indications that there is going to be more behind this. We have been waiting for China to import corn for a number of years. If you will recall, China used to be a 15 million ton corn exporter. So for China to go from being a corn exporter to a corn importer has spectacular consequences for the corn market, for the grain markets and I'm not sure that that is totally appreciated. But it speaks to the corn harvest in China last year which we believe was over estimated because they wouldn't be importing corn if they had produced as much corn as they said they produced last year, and the proof is in the pudding here. So I think everyone – people talk, oh there are no catalysts for potash prices out there and there won't be any catalyst for three weeks or six weeks or some of the outlooks I've read in some of the reports. This is just one catalyst for fertilizer prices and potash in particular that can really make a difference and get this market moving in a completely different direction than some people think we're seeing now.
Operator: Your next question comes from Vincent Andrews of Morgan Stanley.
Vincent Andrews – Morgan Stanley: Thanks and good afternoon everyone. My one question I guess is going to be, can you just talk about price increase in the United States? In the press release this morning you talked about its just beginning to realize at the end of the quarter. So I guess – and the question really is, is if the price increase is about to go through, help me reconcile why the distributor doesn't want to be stocking up now ahead of it?
Bill Doyle: All right, Vincent. I'm going to let David speak to distributor psychology but I will tell you that as of today, we had a $30 increase put forth in March and as of today we've gotten about half of that. So we've got about $15 so far. So I've also read that we haven't gotten any of that by some people and I don't know how they know that but we're at about half of that 30. Dave, do you want to talk about the psychology of the distributors?
David Delany: Yes. The psychology Vincent, really stems from last year's when there were a lot of write downs, primarily on nitrogen phosphate and people have been stating all year, they want to end the season empty and that's been kind of the stated motto of every one of our customers. So as I mentioned to Fai earlier, we've had a terrific season. Off take has been great. All of our customers have made money. The farmer is making money. But at the end of the day, everyone wants to end the season empty and that's the psychology. So we're expecting a very strong second half as I mentioned earlier and thus far in the quarter, we have received $15 of our stated price increase.
Bill Doyle: I mentioned, getting back this catalyst issue to a significant price improvement in Potash, what I would say is they are many varied but any one of them could kick off a rapid change in the pricing environment. So when you see corn sold from the U.S. to China for the first time, that's a catalyst. When you see China realizing that it's cheaper to import potash than it is to buy corn, that's also a catalyst. David just talked about the psychology in the U.S. but coming out of the spring season empty is going to lead to a strong summer fill in the U.S. At the same time we're going to see strong demand from Brazil in the June to September time period. That could also be a catalyst. We've the El Nino problem in Malaysia and Indonesia. Palm oil prices are escalating. That could also be a catalyst. We have got continued record soy bean imports into China, also a potential catalyst. The recognition in the marketplace of tightening supply demand fundamentals of potash that will drive the restocking of the supply chain, when that light goes on, also a potential catalyst. So, when you hear that people say that there are no catalysts for the price of Potash to improve or change, it just shows a fundamental lack of understanding of all the nuances that are in this marketplace.
Operator: Your next question comes from Robert Koort, of Goldman Sachs.
Robert Koort – Goldman Sachs: Hi, good afternoon. Bill, I was wondering if you could talk a little bit – as you mentioned you're moving to short run contracts in potash with China. Can you maybe give a little more color on the basis for going long term in phosphates with India? And then secondly if I could, can you talk a little bit about how the producer psychology is changing as go thinking about second half export business, maybe more particularly, what your fellow potash producers – how they may change. How they approach the market? It would seem six months they were negotiating from a point of weakness and I would suspect you believe, as we go through the summer, they'll be negotiating from a point of strength. So what changed the process, the dynamic, and then maybe you can talk a little bit about pricing?
Bill Doyle: Okay, that's about an hour answer, Robert. I'm going to give you the short one, trying to get down your most important points. What I would say, when you look at China and India in the terms of potash and again we're pursuing short term contracts because we think that's the most logical way to go when you have a potash market that we think is going to be supply challenged and we think it makes most sense for getting an accurate reflection of what demand actually is. So it wouldn't be disguised and we think it's going to be an overall benefit for farmers. In phosphate, you have a totally different dynamic, different supply-demand fundamentals. But India alone, as you know is the dominant player in phosphate on a global basis. They are the biggest importer in the world in phosphate. No one is a close second. And so, to take a longer term position, you're referring to (inaudible) take a longer term position there and a three year deal makes sense because it is a base load for the market. It gives a base from which to build price in all other markets and it underscores, bringing phosphate over a three years period of time. Keep in mind we've got some new additions to phosphate coming into the marketplace over that three years and that also carries you through that period of time. So, phosphate is a completely different situation. One of the important things I think in managing a company in our business is to understand the differences between the nutrients and the way that you need to manage them. You don't manage them all the same. Some people do, and I think they make a big mistake and they shortchange their shareholders in the process. In terms of the psychology of our competitors, that's something that would be beyond an hour explanation. It would take maybe a couple months because it's very perplexing. But I will say to you that I have noticed and I spoke about nervous suppliers in the last conference call and that's just a fact. And we don't only have nervous suppliers in the offshore markets. We have nervous suppliers in the domestic market. So, it's not unique to international players, but I will say that once these suppliers get comfortable again, I mean the nervous sellers tend to get – they get comfortable when they get a certain volume of business and I would say that the most nervous suppliers have taken the biggest pieces of India and China and now they're becoming more comfortable and I think as year goes on and the momentum in the stock market continues to grow that they will become calmer and we'll see that price long term has to be reflective of cost, which is what we have maintained all along and they will understand crop economic prices a little bit better and the returns, and the many facets of determining what is a fair price in the marketplace. So, I have always been curious. I could probably write a book on this subject. I've been studying it for years and it still remains as bit of an enigma.
Operator: Your next question comes from Jacob Bout, of CIBC.
Jacob Bout – CIBC: Good afternoon. I had a question just on offshore pricing. When we take a look at some of the benchmark here, India, being down at 370 a ton CFR, maybe you can just walk us through what happened in a quarter when you had to realize price of 286. Was that freight hedging or were you selling at lower pricing and maybe you can give us an idea of where you're selling into Indonesia and Thailand.
Bill Doyle: Okay, well keep in mind Jacob that $370 is a deliver in India and $286 is be mine price to Saskatchewan. So, you've got to take the ocean freight off. You've got to take the terminal costs off. You've got to take the rail from Saskatchewan to Vancouver off. You have to take 180 day terms which are also included in the Indian price off. So, by the time you take all that off, you get some number that's close to $286. That's how it works. So you can't confuse delivered pricing with FOB mine pricing.
Operator: Our next question comes from Don Carson of UBS.
Don Carson – UBS: Just a little question, a follow-up on your question about nervous sellers and how they're depressing prices. Are you finding that you're having to once again act at a spring producer and take a little less market share this year? Is that implicit in your volume guidance? And then, just a follow-up on Brazil. Bali has been under pressure to provide more P&K [ph] to that market. We've seen them make a move in phosphate with Bunge and it appears that they want to build some mines in both Brazil and Argentina. Do you see more capacity coming online over time in South America in potash?
Bill Doyle: Let's cover the nervous producers first and then I'll talk about the second part. You know, we've always matched supply to demand and that's the way we continue to operate. We said in our quarterly release that with our capacity, this year over 11 million tons of operational capacity, we're going to initiate shutdowns because we're not going to sell that much and so we won't produce that much. And that's been – over the long term that's proved to be a very successful formula for us. So, do we take a little less in a weaker market? Yes. We have. If you go back in time, you look at it, we always take the biggest hit when the market is slow and when the market grows and is dynamic and the levels that we think we're going to see in 2011, 2012 and 2013, we're going to take a much bigger piece because we're the only ones with the capacity. It is that simple. So, yes. We take a little less when the market is weak. In terms of new mines in Brazil and Argentina, the permit for this kind of leap up project near Canaletto [ph] Project Sergipe by Bali, that is a permit but that project is challenged. Kind of like as you know, Don, you've been doing this a long time, they are not exactly the greatest ore body to dig into it. It is full of challenges, and its high costs and I will be surprised if they go ahead with that one. The Amazon project that has been around forever and also extraordinarily challenged, I will be surprised if that one will ever reach fruition. Argentina paid quite a bit for their reserves, but it is an extraordinarily expensive project that has a lot of infrastructure associated with it. I think right now that is that's the most expensive Greenfield project in the world for the tons that they will get out of it. I don't know that that one will go ahead – you know, it is interesting that Bali has changed quite a bit here over the last six months. Bali was a minor player in Brazil, and fertilizer also became the major player. And Bunge's phosphate operations Mosaic and Yara out, they are big player they just spent over $5 billion to get that right. I was always been impressed with Bali's being a company that understands the value of a dollar and understands the value of a dollar and understands that you got to make a return on their investment. I think they have got a very smart CEO, so I don't see them doing anything foolish. So, right now I put Argentina in the foolish category.
Operator: Our next question comes from the line of David Silver of Bank of America\ Merrill Lynch.
David Silver – Merrill Lynch\Bank of America: Bill, I was hoping you could clarify one of your earlier statements in your prepared remarks. You talked about 17 million tons of operational capacity by 2015. And if I recall, I think, earlier you were targeting, I guess, 18 million tons by the end of 2012 or so. Is that your kind of difference between mechanically complete and operational, or what would account for maybe the difference between those targets and actual amounts of capacity?
Bill Doyle: Hi, David. I am going to ask Garth Moore to respond to that one and explain it to you.
Garth Moore: Hi, David. The difference between the two numbers is two-fold, actually. The initial numbers we were looking is 18 million tons of mechanical capacity and the 17 million-tons that is Bill was talking about is operational capability, which is less than 100% of capacity, and the timing is basically – the original amount of dates that went out were just basic completion of the mechanical and installation, so that is the difference in the two time frames, plus a little bit of a few months slow down in a couple of projects, pushing them out three or four months. But other than that, that is the difference.
Bill Doyle: Yes and David, this might speak a little more to Don's question, also. The economics of these projects, and when I say I think Argentina would be in the foolish category, if you look at that 1st quarter average export price, we have $285. Well, that will work for our Brown field, but in order to get Greenfield, and a minimum return of 10% on your investment, for a 2 million-ton mine with 2.8 million Saskatchewan economy is just within the plant gate and then you add infrastructure, you get up around $4 billion. You got to have a return to get that 10% of at least $600 and if you want to take that to a 15% return which is the way that we do it – because, keep in mind, you got that money sitting out there for at least a 7-year period with no return whatsoever. 15% return gets you up closer to $900. So, you got a price of $285 FOB, and you have a project in Argentina which is going to require at least $600 FOB mine to justify. The Bali people are smart. They are not going to sit there and say, why would we do that? It doesn't make sense, a lot of these projects and people give so much credence to everybody that says they are going to do something or they have drilled spent a couple million bucks to drill some holes. The difference between drilling a couple of holes for a couple million dollars and building one of these projects is enormous. Any board of Directors, I guarantee you, you go to Bali's Board of Directors or BHP's, Board of Directors or any other one, and the Board said okay, Mr. so and so, what is the return on this investment of $5 billion, $4 billion in certain cases and in some of those – one of those projects is a $10 billion, what is the return? Well, you know what? We have got a negative return on the project today. The Board members look at you like you have got a hole in your head. It's just not the way business works. So, I would like to see a little bit more scrutiny and a little bit more discernment when people look and just take all of these projects for granted. And, again, the proof is in the pudding. None of them are under way. If it was such a hot spit deal, we would be doing it.
Operator: The next question comes from Edlain Rodriguez of Broadpoint Gleacher.
Edlain Rodriguez – Broadpoint Gleacher: Good afternoon. Bill, can you talk about the impact of Russian and Israeli products coming into America that could potentially undermine the current price increase on the table. Do you feel as opportunistic sales or something more sustainable in a sense that is a reflection that there is excess supply in the market? And if there is excess supply, what gives you confidence that you can place the full gun sales to China but not doing a contract like other producers to other markets?
Bill Doyle: Okay. I am going to ask David to respond to what.
David Delaney: We have always – the U.S. has imported Russian Potash for several years. Israeli Potash has been intermittent. There has been a little that has arrived this year; year-to-Date imports from January to March are 161,000 tons. As I mentioned, we sold 3.1 million tons as an industry in Q1. So, yes, it is there. Maybe it is at a minor impact on the river, but it doesn't dictate what we do in the marketplace at Potash Corporation.
Bill Doyle: I don't think it shows any – when you look at those numbers that Dave just said, it really doesn't give you very good indication if there is an excess supply out there. I don't think that is the case. I don't think it will make a bit of difference.
Operator: The next question comes from the line of Jeffrey Zekauskas of JPMorgan.
Jeffrey Zekauskas – JPMorgan: Hi. BPC and Israel Chemicals Ltd. have committed to sell Potash to India through March of 2011. Because they have done that at a stipulated price of I guess $370 delivered, does that mean that if Campatex choose to sell to India they also would sell it at that price or does Campatex have room to negotiate at a different price?
David Delany:
Operator: The next question comes from Michael Picken of Cleveland Research.
Michael Picken – Cleveland Research: Hi. I have a question on the cost side. If you could give a little bit more color behind sort of how many shutdown weeks you are anticipating over the next couple of quarters and then also if you could provide sort of update in terms of what type of rate we should expect for the provincial mining taxes that would be real helpful? Thanks.
David Delany: I'm going to split that up. I'm going to have Garth talk about our mining shutdowns. What are his thoughts and then I'm going to ask Wayne to comment on the tax?
Garth Moore: Michael, as far as the shutdowns go, as Bill mentioned, we have a capacity for slightly for over 11 million ton this year and their forecast between is considerably less than that. So, we've already announced one shutdown at Brockville [ph] of five weeks and all of our plants are having four week maintenance vacation shutdowns during the July-August period. Cory has to go down, we are doing some major modifications there because of our expansion problem that we change our hoisting system in our production shaft, and that's going to take us down for around 13 weeks, and the other shutdowns we haven't really planned yet. We are going to set the type of tight demand with how the market goes and how the sales move. So, that will depend on a certain amount of what our sales forecast is, but there will be certainly some additional shutdowns in the third quarter and fourth quarter.
Michael Picken – Cleveland Research: Okay. Wayne, do you want to talk about the tax?
Wayne Brownlee: The tax that we are paying actually is really the reserve surcharge in Saskatchewan, which for the first quarter was represented almost of the entire amount of the tax that were paid. That's because of the capital spending we are doing in Saskatchewan, and a deductible gains fee and profit margin when basically negates any base payments or profits tax liability. So if you just want a modeling answer, I would be in a 4% to 5% gain in total gross margin for the year.
Operator: Your next question comes from the line of David Israel Chemicals Ltd. have committed to sell potash to India through March of 2011 because they've done that at a stipulated price of I guess $370 delivered, does that mean that if Canpotex chooses to sell to India, they also would sell at that price whereas Canpotex have room to negotiate at a different price?
David Delany:
Operator: Our next question comes from the line of David Begleiter of Deutsche Bank.
David Begleiter – Deutsche Bank: Thank you. Bill, it returns to trim line consumption in 2011. How much of that additional tons finally in tons should you guys capture. And just on China, what is the long-term demand potential of that market? Is it above the 11 million tons that we did in 2007?
Bill Doyle: All right. The first part of your question is how much of the additional 5 million will we capture? I don't know yet. As this thing gets going, and of course, you get up to 56 million tons, and of course then there is an inventory rebuild and you are going to go above trend line here in that 2011, 2012, 2013, you are going to go way above trend line get back to trend and plus growth. People don't take into account growth. The market is growing. People are adding more people as I said in my remarks, and this need for balanced nutrition. You see what India is doing with their new nutrient subsidy scheme. You see what China is doing that we are g to have a renewed appreciation for the importance of balanced nutrition for plants, potash being the nutrient in least supply that's going to put pressure on the system. So you are going to see quite a bit of growth here, but to answer, I don't know exactly of the additional 5 million. And the second –
Denita Stann: China, long-term.
Bill Doyle: China, long-term in China, that's pretty simple when you look at their science part of it, and again being so important for everyone to remember that this is a science-based business. But, China consumed 11 million ton in the 2007. The China Soil Science Academy, along with the international plant Nutrition Institute have said that China needs to be at 26 million tons of potash consumption to get a balance of nitrogen and phosphate and do that over the next 15 years. So, we know China is going to come back and be a very strong customer. There is limit to what they can do with domestic production. There is so much, Brian; you can take out of the link before you destroy the balance. So, China is going to be, as we said before, minimum 75% dependent on imports. So, as the market grows, and by the way, when it comes back, China is the real wild carcass. When it pops up, your growth is tremendous. We've always held our breath over the years. When China goes on one of its growth spurts, it is the dickens for everybody to keep up with it, and you will see that in the next couple of year period. China is really going to take off again, and we've got to be ready for it and we will be ready for it, but a lot of growth in China. China will be the biggest potash market in the world, despite the last couple of years where it had lower consumption.
Operator: Your next question comes from Charlie Rentschler of Morgan Joseph.
Charlie Rentschler – Morgan Joseph: Bill, following up on that comment, I was struck by your earlier view of that the Chinese are taking a more businesslike approach to negotiations, and remember several conference calls ago that you spent quite a bit of time talking about their negotiating behavior. You weren't very pleased with it, but to the extent that they are going to short-term contracts maybe on a quarterly basis, can you give us some insight as why you think they changed their approach, and what makes you think that this might continue?
Bill Doyle: Charlie, I didn't mean to give you the understanding that they have changed yet. It's our impetus to change it, and I would also say to you that I have tremendous respect for the Chinese negotiating capability. They are terrific. I mean, they are really good, tough negotiators. And historically they have kept their word. That is important. Unfortunately, during this last three year period the MOU that we had with China, between Canpotex in China which ended December 31, 2009 the last year they didn't take anything. That was very, very poor performance, and they know it. They are aware of the fact they didn't perform, and that's not typical Chinese, but we do think because of the hold up, that really caused the rest of the world because everybody is waiting for China, and as I said that doesn't do farmers anywhere any good and it is not good for food production. But we just think it makes much more sense to have quarterly price that will give us a much better reflection to the actual market. So if the market is slower, we will know that. If the market is more heated, we will get a better reading there, too. So, it's a working price. We do think that we will have quarterly pricing in 2011 as a practice widespread because it makes sense. In this market and a transition market, we have been the only ones to get that done, and we are going to stick with it because we think that we are going to lead, and we think that it is important.
Operator: Your next question comes from the line of Mark Gully of Soleil Securities.
Mark Gully – Soleil Securities: Bill, most to have discussion this afternoon has been about potash, but you are also in the phosphate business. Can you talk about the raw material trends you are seeing in phosphates and whether you will pass on the raw materials increase in the terms of higher selling prices? Thank you.
Bill Doyle: All right. Mark, I'm going to ask David Delaney answer your question.
David Delaney: Yes, Mark. Sulfur was just announced at $145 to $155 increase here in Q2. Ammonia prices have settled to 405 for May and my guess is they will trend down to the summer months and bounce back up. Here as we get to September, again there is been great uptick for ammonia in the pipeline Midwest that has to be recharged, which is likely positive for ammonia throughout the year. Sulfur prices in the second half of year, I think will likely level off a little bit. Product selling prices have been covering the additional cost with phosphate contract to India. That net back is close to $435 per metric tons, which is profitable, even with the sulfur price increase. Our low mag, poly or other product lines are doing well. Also with the settlement in India on DAP, asset prices, MGA prices have gone from $610 CFR to $775. So, we look for a better year in the phosphate results here in 2010, even with the higher input costs.
Operator: Your next question comes from Hari Sambasivam of National Bank.
Hari Sambasivam – National Bank: Thank you. Just a couple of quick questions. I had a phosphate related question. As the prices increase from the November time period to right now where you are sitting at high 400s, what kind of demand elasticity have you seen in the Corn Belt or other marketplaces? So that was the first question. And the second question I had is in the relation to the rationale for the price increase in the Corn Belt. The price increase itself was announced multiple months ago and I'm just kind of curious as to what kind of rational you gave growers and wholesalers as to why that price is going to go and now that the price increase has been resisted, how do you go back and reinstitute a price increase down the road. I'm just sort of thinking through the rational and the explanations or how do you actually position that? Thank you.
Bill Doyle: All right, Hari. I'm going to have David speak to that one, as well.
David Delaney: Hari, with the phosphate price where it is, the contribution margin as we mentioned earlier is still extremely good for both with corn and soy beans. It's the fifth year in a row that we have seen really terrific returns for the U.S. farmer. But also if you look at returns around the world for our commodities are significantly up over a 10 year high basis. If you look at phosphate demand, globally we are mapped that triple export demand is going to go from 18.9 to probably 21 million tons. So, that is a good example. We think domestically or in the U.S. we are going to produce about an 11 million metric ton this year and we think there is demand between the offshore and domestic demand of close to 12. So, that inventory number that is already tight will become tighter. But we haven't seen any push back at today's prices and in fact their map has run out throughout the Midwest and in most terminals there is both from a demand standpoint it has been extremely good.
Denita Stann: Great. We will have time for just one more question.
Operator: The last question comes from Eileen Medak [ph] of Desjardins Securities.
Eileen Medak – Desjardins Securities: Hi, good afternoon. Most of my questions have been answered. But one particular I wanted to ask was, do you think based on occurrences of last year regard to the standoff that the power has shifted onto the consumer side as opposed to the producer side where it has been arguably for a very long time prior to last year?
Bill Doyle: I don't know about the power thing. That doesn't mean any difference to us. We just think that you got to have a price that is reflective of reinvestment economics. It is pretty simple. If you don't, you are destroying value, and, we love our customers. We want to do right by our customers. We want to provide fair value. It just has to be reflective of economy. Some people don't think that way. Some people think that you just need to drive the price down whenever you get a chance. Some people think you have to drive it up whenever you get a chance. I would say that middle ground is reasonable, but it has to be reflective of the economics of the industry. If it is not, you are going to have much more volatility, and that doesn't serve anyone's interest. Certainly it doesn't contribute to the important job of producing food for the global populous.
Denita Stann: Great. Thanks, Bill. Before we finish off today, I would just like to remind everybody that we have an upcoming analyst meeting at the New York Stock Exchange on the afternoon of May 19th. Registration and details are available on the home page of our website, so we hope you'll be able to join us. Thank you for joining us for today's call. If you have any further questions, please don't hesitate to call our offices.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you from participating. Please disconnect your lines.